Operator: Good day, and welcome to the Solid Power Second Quarter 2025 Earnings Conference Call. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to [ Charlie Vangetz ] Investor Relations. Please go ahead.
Unidentified Company Representative: Thank you, operator. Welcome, everyone, and thank you for joining us today. I'm joined on today's call by Solid Power's President and Chief Executive Officer, John Van Scoter; and Chief Financial Officer, Linda Heller. A copy of today's earnings release is available on the Investor Relations section of Solid Power's website, www.solidpowerbattery.com. I'd like to remind you that parts of our discussion today will include forward-looking statements as defined by U.S. securities laws. These forward-looking statements are based on management's current expectations and assumptions about future events and are based on currently available information as to the outcome and timing of future events. Except as otherwise required by applicable law, Solid Power disclaims any duty to update any forward-looking statements to reflect future events or circumstances. For a discussion of the risks and uncertainties that could cause actual results to differ materially from those expressed in today's forward-looking statements, please see Solid Power's most recent filings with the Securities and Exchange Commission, which can be found on the company's website at www.solidpowerbattery.com. With that, let me turn it over to John Van Scoter.
John C. Van Scoter: Thank you, Charlie, and thank you all for joining us. I'm pleased to provide an update on our 2025 operational goals since our last earnings call. As announced this quarter, we reached a significant achievement in our partnership with BMW, who introduced their i7 test vehicle powered by our cells and solid-state battery technology. We believe this development marks a major step in our overall strategy as it underscores the potential of our electrolyte and cell technologies. It also highlights our 2025 corporate objective to drive electrolyte innovation and performance through feedback from cell development and customers. We're excited and proud to continue our partnership with BMW. This quarter, we completed factory acceptance testing of the SK On pilot line, which is a key milestone under our line installation agreement. Our collaboration with SK On supports their efforts to develop solid-state cells based on our technology and operate a solid-state pilot line that we designed to use our electrolyte. We have begun working towards site acceptance testing of the line at SK On's facilities, which we expect to complete later this year. We're making progress on our electrolyte development road map. During the quarter, we finished ordering long lead equipment and began detailed design for our planned installation of a continuous manufacturing pilot line for sulfide electrolyte production at SP2. The line is expected to expand our production capacity to 75 metric tons and enable us to support anticipated small volume programs of current and future customers. As of June 30, we have received $3.3 million in reimbursements under our agreement with the U.S. Department of Energy for this project. We remain on track for commissioning of the line in 2026. Finally, we are working to ramp electrolyte sampling and identify long-term customers. During the first half of the year, we continue to see demand for multiple generations of our electrolyte from customers, including both existing and new customers. We've engaged in active sampling to key strategic customers so far this year, and we remain encouraged by our customer engagement and electrolyte sampling activities. I'll now turn it over to Linda to discuss our financial results and progress towards achieving our financial discipline goal. Linda?
Linda C. Heller: Thank you, John. I'll start with Q2 and year-to-date results, beginning with revenue. During the second quarter of 2025, we generated revenue of $7.5 million compared to our Q1 2025 revenue of $6 million. This brings revenue year-to-date to $13.5 million. Revenue recognized this quarter was driven primarily by the achievement of the factory acceptance testing milestone under our line installation agreement with SK On. Operating expenses for the second quarter were $33.4 million, an increase of $3.4 million compared to our first quarter of 2025 at $30 million. This increase is driven by costs incurred to support the achievement of factory acceptance testing, which was $6.7 million of our operating costs for the quarter. Operating loss year-to-date was $49.9 million and year-to-date net loss was $40.5 million or $0.22 per share. Capital expenditures totaled $5 million, primarily representing costs for the construction of our continuous electrolyte production pilot line. We repurchased 3.3 million shares during Q2 at an average share price of $1.05, totaling approximately $3.6 million under our stock repurchase program. Thanks to a strong balance sheet, we were able to return this capital to shareholders and maximize long- term shareholder value. Turning to our balance sheet and liquidity. During the quarter, we invested $14.4 million into operations and $2.6 million into CapEx. This brings our total year-to-date cash investment to $45.7 million. We ended the quarter with total liquidity of $279.8 million as of June 30, 2025. In addition, contract receivables totaled $4.6 million and total current liabilities were $12.4 million. We continue to be disciplined fiscally balancing efficiency and process improvements with the strategic investments in technology developments and critical infrastructure. I will now turn it back to John for some final thoughts.
John C. Van Scoter: Thank you, Linda. In closing, we are steadily advancing towards our strategic objectives. I want to express my gratitude to our employees, partners and stakeholders for their continued commitment and support. I remain optimistic about our potential to deliver strong returns for our shareholders. We will now take your questions. Operator?
Operator: [Operator Instructions] This concludes our question-and-answer session. I would like to turn the conference back over to John Van Scoter for closing remarks.
John C. Van Scoter: Thank you for joining the call today and for your interest in Solid Power. We look forward to updating you again next quarter.
Operator: Thank you. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.